Operator: Thank you for holding and welcome to the DTE Fourth Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I’d now like to turn the call over to Barbara Tuckfield, Director of Investor Relations. Ms. Tuckfield, please go ahead.
Barbara Tuckfield: Thank you and good morning, everyone. Before we get started, I would like to remind you to read the Safe Harbor statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. Please refer to the reconciliation of GAAP earnings to operating earnings provided in the appendix. With us this morning are; Jerry Norcia, President and CEO; and Dave Ruud, Senior Vice President and CFO. And now, I’ll turn it over to Jerry to start the call this morning.
Jerry Norcia: Well thanks, Barb and good morning, everyone and thanks for joining us. I hope everyone is having a healthy and safe year so far. This morning, I’ll start by giving you a recap of our 2021 business performance, provide highlights on how we are well positioned for 2022 and give an overview on the robust opportunities and our long-term plan. Dave Ruud will close by providing a financial update and wrap things up before we take your questions. I’ll begin on Slide 4. 2021 was another great year for operational and financial results, continuing our incredible track record of creating shareholder value. We did all of this with a keen focus on our employees, customers and communities. Continue to drive an organization to improve the health and well-being of our team, cultivating deeper employee engagement, which results in service excellence. I always say that employee engagement is the secret sauce that drives our success. And for the 16th consecutive year, DTE was named one of the Best and Brightest Companies to Work For in Metropolitan Detroit. Now I’ll switch over and discuss our customer focus. As you know, heavy storms impacted our service territory in 2021. To further harden our system and preparation for similar extreme weather events in the future, we are investing an additional $90 million in our tree trimming program through 2023. And these investments will not impact our customer bills. Additionally, we have been making significant investments to further improve our reliability, to ensure we are delivering for our customers now and into the future. Our strong focus on service excellence positioned us to achieve high customer satisfaction rankings. Our gas company is ranked number one by J.D. Power for both residential and business customer satisfaction. Moving on to our communities, we are continuing our commitment to provide cleaner, more reliable energy through our decarbonization and voluntary renewable programs, which I’ll discuss in more detail in a few minutes. Additionally, we are recognized as the 2021 Corporation of the Year by the National Minority Supplier Development Council. We also had tremendous success on the economic development front. We were actively involved in General Motors’ decision to invest over $4 billion in EV technology in our service territory. On the investor front, we finished 2021 strong and are well positioned to deliver future growth. I am also very proud of how the team successfully completed the spin of DTM. This separation positioned DTE as a predominantly pure play utility and unlock significant value for our investors. In addition, 2021 was the 13th consecutive year we exceeded our operating EPS original guidance midpoint. Now let’s turn to Slide 5. Our 2021 operating EPS of $5.99 per share provides 17% growth from our original 2020 guidance. We are narrowing our 2022 operating EPS guidance range. Our increased midpoint of $5.90 per share provides 7% growth over the 2021 original guidance midpoint. We are reaffirming our 5% to 7% long-term operating EPS growth rate through 2026 from 2022 original guidance. We also increased our dividends by 7%, which is in line with the top end of our operating EPS growth target. With the highly successful spin of DTM, over 90% of our growth will come from our Utility businesses. At DTE Electric, we are investing heavily in the modernization of the grid and cleaner generation. At DTE Gas, we continue our main renewal work as well as infrastructure improvements. And the balance of our portfolio about 10% is made of mainly earnings from our DTE Vantage business – earnings from this segment are primarily from cleaner, energy-focused projects. Now on to Slide 6. At DTE Electric, we announced our plan to accelerate decarbonization by ceasing coal use at the Belle River Power Plant by 2028, two years earlier than previously planned. Our Blue Water Energy Center is in the late stages of completion. We introduced test gas at the facility last year, and two turbines have been synchronized to the grid. This state-of-the-art natural gas plant is 96% complete, and is on track to be in service this summer. These steps move us closer to our goal of net zero carbon emissions. In 2021, we continue to see great success with our voluntary renewables program. We reached over 1,000 megawatts of commitments from large business customers and over 48,000 residential customers. We have an additional 1,300 megawatts in advanced stages of discussion with future customers. As we highlighted last year, we are filing our Integrated Resource Plan in October of this year. We continue to evaluate the opportunity to exit coal use at the Monroe Plant earlier than 2040. We started hosting meetings in January for the public to participate in shaping our clean energy plan. Getting our stakeholders’ input early in a process ensures that what matters most for them is taken into consideration, as we work to achieve the right balance of energy sources that will provide cleaner, affordable and reliable power for decades to come. We announced during our third quarter call, that we increased our 5-year capital program by $1 billion. This increase in our electric 5-year plan is driven by distribution infrastructure investments, preparing our grid for electrification and hardening initiatives. And we increased our investment in clean energy. Overall, this five-year, $15 billion investment supports our plan to improve reliability and strengthen our system, while focusing on customer affordability. DTE Electric filed the general rate case last month, which was the first filing in almost three years. I’m proud of the work that we have done with the Commission to come up with innovative ways to maintain affordability. And we will continue to focus on keeping rates affordable as we invest in the system. And now let’s turn to Slide 7. At the Electric Company, we are planning to invest $35 billion over the next 10 years, to support reliability, additional in renewable, resources and the increased pace of electric vehicle adoption. This provides a large inventory of potential capital investment pull forwards into the 5-year plans. As we plan for the cessation of coal use, we will need to invest in renewable resources, short and long duration storage, demand response and other dispatchable resources. Over the next 10 years, we also see an increased pace of EV adoption that drives grid investments, to support increased sales and a need for additional reliable generation. We believe EV adoption will increase our electric load by 5% to 10% over the next 10 to 15 years. General Motors recently announced the $7 billion investment that will secure its commitment to accelerate an all-electric future, along with 5,000 high-paying new and retain manufacturing jobs in Michigan. This includes a $4 billion investment to convert GM’s Orion Township assembly plant located in DTE service territory, this plant will produce full-size electric pick-up trucks. Our collaboration with GM and the State of Michigan was fundamental in securing this investment. The GM projects are the first to be approved utilizing the new critical industry program and strategic Site Readiness program signed in the law by Governor Whitmer in December. These programs were created to ensure Michigan could effectively compete for billions of dollars in investment and attract tens of thousands of jobs to ensure continued economic strength in the state. We are confident there will be more investment in EV industry in our state. Even in our own operations, we are making strides in this area. We recently announced that we will be replacing up to 25% of our fleet with green fuel technologies by 2030. Now let’s turn to Slide 8 to discuss our Gas business. We had significant accomplishments at DTE Gas in 2021. We announced our new Natural Gas Balance Program. This program provides the opportunity for customers to purchase both renewable natural gas and carbon offsets, allowing them to offset up to 100% of the carbon from the natural gas use. We are the first gas utility to introduce this innovative program and our customers really like it. We’re proud of how fast the program is growing with over 5,000 customers already subscribed. Another major accomplishment in 2021, is that, we finished the first phase of our major transmission renewal project in Northern Michigan. This project includes the installation of new pipe and facility modification work to provide supply redundancy for a growing market. We are on track to complete this project in 2022. We continue to focus on upgrading our system and replacing aging infrastructure to reduce costs and improve customer satisfaction. We plan on completing 200 main renewable miles in 2022. At DTE Gas, we are planning on investing over $3 billion over the next five years to upgrade and replace aging infrastructure and to further reduce greenhouse gas emissions. Overall, we’re looking forward to another strong year from our Gas Company, and we see natural gas play an important role Michigan’s energy needs over the long-term. Now let’s turn to Slide 9. At DTE Vantage, we continue to see additional opportunities in RNG and Industrial Energy Services as the REF business sunset at the end of 2021. Last year, we told you about a new RNG project in South Dakota, which is now under construction and slated startup in the second quarter of this year. We commenced construction on another Wisconsin RNG project in the third quarter and entered into an agreement for an additional one, which will be our first project in New York. Additionally, DTE Vantage along with its 50% partner, will build a new RNG facility that take all of the available biogas of Riverview Energy, a Michigan-based landfill and convert it into pipeline quality renewable natural gas. The project adds to DTE Vantage’s portfolio of RNG projects serving transportation and other end-use markets. The RNG business contributes to our decarbonization efforts as we move to a cleaner energy economy. At DTE Vantage, we are planning to invest between $1 billion to $1.5 billion over the next five years. We are targeting operating earnings of $90 million to $95 million in 2022, growing at a $160 million to $170 million in 2026. So longer-term, we are maintaining our earnings growth target of about $15 million per year, which we have been able to achieve over the past few years. And we continue to have a great pipeline of projects in both RNG and Industrial Energy Services to achieve future growth. With that, I’ll turn it over to Dave to give you a financial update.
Dave Ruud: Thanks, Jerry and good morning, everyone. As Jerry said, we completed a successful financial year in 2021 and we are well positioned for this year and for our future growth. Let me start on Slide 10 to review our 2021 financial results. Operating earnings for the year were $1.2 billion. This translates into $5.99 per share. You can find a detailed breakdown of EPS by segment, including our reconciliation to GAAP reported earnings in the appendix. I’ll start the review at the top of the page with our Utilities. DTE Electric earnings were $864 million for the year. This was $51 million higher than 2020, primarily due to the implementation of rates from the rate case we filed back in 2019, higher commercial and industrial sales and additional renewable projects. This was partially offset by higher O&M, rate base costs and the tree trim deferral of $90 million pre-tax that we’ll be using over the next two years to further accelerate our reliability improvements. Moving on to DTE Gas, operating earnings were $214 million, $18 million higher than 2020. The earnings increase was driven primarily by the implementation of rates partially offset by higher O&M and rate base costs. Let’s move to DTE Vantage on the third row. Operating earnings were $176 million in 2021. This was $26 million higher than 2020, driven primarily by RNG earnings. On the next row, you can see Energy Trading had another solid year due to the strong performance in a gas portfolio throughout the year. Finally, Corporate & Other was unfavorable $32 million year-over-year. This was driven by interest income in 2020 related to the CARES Act refund which didn’t repeat. And in 2021, we incurred expense to opportunistically retire higher priced debt at the Holding Company, which will provide interest savings going forward. Overall, DTE earned $5.99 per share from continuing operations in 2021, representing 17% growth from our 2020 original guidance. So another strong year, putting us in a great position for the future. Let’s turn to Slide 11 to discuss our 2022 operating earnings guidance. We are well positioned to deliver another successful year in 2022. As Jerry mentioned, we’re raising our 2022 operating EPS guidance and narrowing the range to $5.80 to $6.00 per share. We increased midpoint of $5.90 per share provides 7% growth from the 2021 original guidance midpoint. In 2022, growth at DTE Electric will be driven by distribution and cleaner generation investments. DTE Gas will see continued customer-focused investments in main renewal and other infrastructure improvements. 2021 was a final year for our reduced emissions fuels business at DTE Vantage. Approximately $100 million of REF earnings net of associated costs rolled off last year. This is partially offset in 2022 by new RNG and Industrial Energy Services projects that will serve as a base for growth going forward. The Corporate & Other, the biggest driver in our year-over-year improvement is lower interest expense. This is a result of leveraging earnings and cash strength in 2021 to opportunistically we market some higher-priced debt. We also paid down parent debt proceeds from DTM’s debt issuance. This will provide interest savings in 2022 and future years. Let’s turn to Slide 12 to discuss our balance sheet strength. We continue to focus on maintaining solid balance sheet metrics. Due to our strong cash flows, DTE has minimal equity issuances in our plan beyond the convertible equity units that we’ll convert later this year. But we also increased our 5-year capital investment plan by $1 billion. We have a strong investment-grade credit rating and target an FFO to debt ratio of 16%. And we increased our 2022 dividend by 7%, continuing our track record of growing our dividend in line with top end of our targeted EPS growth rate. We completed our liability management plan following the spin of our Midstream business, using the funds raised from DTM’s debt issuance to repurchase a little over $2.6 billion of corporate debt. This liability management plan was NPV positive, EPS accretive and further supports our long-term growth. Let me wrap up on Slide 13, and then we’ll open the line for questions. In summary, we achieved great success in 2021 across all of our business lines. We raised and narrowed our guidance range and are in great shape for 2022 targeting 7% operating EPS growth from our 2021 original guidance midpoint. Our robust capital plan supports our 5% to 7% long-term operating EPS growth by delivering cleaner generation and increased reliability for our customers. DTE continues to be well positioned to deliver the premium total shareholder returns their investors have come to expect with strong utility growth and a dividend growing in line with operating EPS. With that, I thank you for joining us today and we can open the line for questions.
Operator: All right. Now we’re going to open up for questions. So our first question comes from the line of Shar Pourreza from Guggenheim Securities. Go ahead. Your line is open.
Constantine Lednev: Hi, good morning. It’s actually Constantine here for Shar. He sends his regards and congrats on a great quarter.
Dave Ruud: Thank you.
Jerry Norcia: Thanks, Constantine.
Constantine Lednev: Just – just as we’re looking at the new guidance for ‘22 and the longer-term EPS growth rate. You pointed that you’re growing faster among – amongst peers on a trailing basis. And going forward, there’s less volatility post then obviously, can you elaborate on what brings you down below the 7% growth rate going forward? And maybe some of the assumptions that are in plans surrounding low growth and O&M contingency?
Jerry Norcia: Sure, Constantine, great question. So, as you mentioned you know we’ve raised our guidance this year to 7% growth. And we’ve had a long track record of having you know best-in-class EPS growth in our industry. We’re also for the first time in almost three years, filed an electric rate case and are going to file an IRP in October, all of that will instruct our long-term capital plans, and – and also our long-term growth rates. So more – more to come on that.
Operator: Okay. Our next question comes from the line of Jeremy Tonet from JPMorgan. Your line is open. Please go ahead.
Jeremy Tonet: Good morning.
Jerry Norcia: Good morning.
Dave Ruud: Hey, Jeremy.
Jeremy Tonet: Hi. Just wanted to start with you know, thinking about the rate case coming up here. We’re seeing some inflation concern throughout much of the economy, and just how do you think about customer bill impacts in this type of environment? You know and – and also in light of, I guess, recent you know rate case filing?
Jerry Norcia: Sure, good – good question. I – what I’ll say is that, we’ve stayed out of electric rate case for almost three years at the Electric Company, and that was really in response to the pandemic, and making sure that you know we maintained affordable bills for our customers. This rate case that we filed is primarily about capital infrastructure. And that’s investing in our grid and preparing our grid for continued climate change as well as preparing it for demand growth from our EV – from EV adoption, as well as building for a cleaner energy future. So, it’s all about capital. If you had looked at our rate case file, you’ll also see for the first time in my memory, we filed for lower operating expense, which will make us distinctive – continue to make us distinctive in the industry.
Jeremy Tonet: Got it. Thanks – thanks for that there. And then just want to you know pivot towards the coal plants. And just wondering how – realistically how far can DTE pull forward some of these retirements over time you know especially Monroe here, and I guess – how do you think about the replacement capacity needs you know in conjunction with that?
Jerry Norcia: We’re certainly going to accelerate Monroe from 2040. You know, how far we accelerated from 2040 is something we’re having – doing a lot of analysis on and having a lot of conversation with our stakeholders on, but I think you can expect to see a significant acceleration. What limited is a – is really how do we ensure that there’s good affordability and also reliability. I mean, those are the two premises that we really need to nail here as we complete our – our acceleration plan to exit coal.
Jeremy Tonet: Got it. Thanks for that. And then last one if I could real quick. Just with Vantage here it seems like you know, RNG opportunities that you highlighted you know growth there. Just wonder if you could update us I guess on you know hitting targeted returns in light of you know it seems like a highly competitive environment on the RNG side, and then just taking a step back, Vantage overall, just how you know core that businesses you know having spun the Midstream business recently, just want to – want to see advantages is still fully core I guess in your mind.
Jerry Norcia: So, Jeremy, the – the projects we’re pursuing, we’re still seeing high IRRs, unlevered IRRs in – in the mid-teens after-tax and simple – cash paybacks of three to five years going forward. And that’s all organic development, our latest projects actually were taken some of our biomass and biogas projects that we’re feeding small power units and converting them with RNG, that’s providing us a significant runway for future – future development as well. So we’re limiting that business as you noted 10% of our earnings growth as well as 10% of our overall portfolio. And it’s really pointed at complementing our ESG agenda. From an investor perspective you know 90% of our focus is really on utility growth. So I would say that’s the cake and the high cash flows and high returns from Vantage is sort of the frosting on the cake, if you will, for our investors. So, major focus on our utilities and obviously growing this business slowly and – and attracting really high returns.
Jeremy Tonet: Got it. That’s helpful. I’ll leave it there. Thank you.
Jerry Norcia: Thank you, Jeremy.
Operator: Okay. Our next question comes from the line of Insoo Kim from Goldman Sachs. Your line is open. Please go ahead.
Insoo Kim: Yeah, thank you. My first question is on, related to you know the upcoming or the current rate case in Michigan, and then you know thinking about the growth rate beyond ‘22. You know, obviously I think your peer in the recent case had some you know rate based capital items that were at least deferred to the next case. So when you think about the potential range of outcomes you know that could play out in your case and combined with you know the converts happening later this year? You know should we still think that with a contingency that you guys have in place that 5% to 7% is a pretty good benchmark for ‘23 on a year-over-year basis?
Jerry Norcia: So I’ll just start that by saying that 5% to 7% is rock solid for us as a guidance for 2023. And we’re working on those plans now and fine-tuning those plans for 2023. And that’ll start to shape up and I think you could expect us to deliver similar results next year than we’ve been delivering in the past. In terms of the rate case, again, it’s the capital plan we’ve spent a lot of time with Commission staff, and the Commissioners themselves before we filed to really create a strong understanding of the investment that we were making in the grid, why we were making the investment in the grids that we are making, and also the impact on reliability. So there’s a strong understanding of what we plan to do. And if you’ll recall, last year we filed a 5-year plan, 10-year plan and a 15-year plan for the grid. So we spent a lot of time socializing our plans with the Commission staff and the Commissioners. So we believe there’s a strong understanding of the grid investments. And then with our renewable plans, much of it is voluntary – voluntary at this point in time. So again that’s – that’s well understood. So, that in combination with the fact that we’ve been out for almost three years, we’re – we’re feeling pretty good about delivering a constructive rate case outcome.
Insoo Kim: Understood. Thanks for the – the color there. My only other question is on for this year and maybe just going forward, what’s the right level of whether normal electric or a gas demand growth that we should be embedding?
Jerry Norcia: David Ruud, do you want to take that one?
Dave Ruud: Sure. Hi. Yeah we continue to see really good trends across our customer classes. And so, if you look from ‘21 to ‘20, you know we were up overall about 3%. And what we saw is our commercial load and our industrial load really coming back to kind of mitigate any of the decreased activity we saw to COVID, we see that little more growth continuing across commercial and industrial, residential was still high relative to pre-COVID. We saw ‘21 had no real change from 2020 at those higher levels. We’ve seen that come down a little bit recently. But we’re still seeing right now residential load you know somewhere around 5% higher than what we would have expected pre-COVID. We do expect that to come down and taper off this year as more people go back to work and closer to how they did before.
Insoo Kim: So for 2022, should I – should we assume that something like 1% overall growth is the right number? Or is it even more conservative than that just you know relative to what you’re taking into your assumptions?
Dave Ruud: Probably a little more conservative due to the residential load coming – coming down and tapering off as the year goes on. We’ve had really high residential in ‘21 so.
Insoo Kim: Understood. Thank you so much.
Operator: Okay. Our next question comes from the line of Durgesh Chopra from Evercore. Go ahead, sir. Your line is open.
Durgesh Chopra: Hey. Good morning, team. Thank you for taking my question –
Jerry Norcia: Good morning.
Durgesh Chopra: Good morning, Jeff. Just – Jerry. Sorry just in – in previous slides you’ve had this, Dave, this disclosure of earnings growth for segments 7% to 8% for Electric and then 9% for Gas. Just for a model, is that still sort of how you’re thinking about the growth through 2026 in those – in the segments?
Dave Ruud: What we see is we see higher growth in these early years. So ‘22 and ‘23 at Electric and Gas that allow us to grow at 5% to 7% through the converts that come in this year, $1.3 billion of convert. And then it comes down to where EPS and our growth in our Utilities kind of match. So we have a little bit higher in these early years. But then as we get to the out years, you’ll see EPS and our earnings of our Utilities closer to each other.
Durgesh Chopra: Got it. So higher in the year-over-year, and then basically in line with – with the rate base and the outlook.
Dave Ruud: Yes.
Durgesh Chopra: Okay. And then just on the CapEx upside opportunity, Jerry just can you clarify one thing for me? The $35 billion, is some of that already baked into your current plan? Or is that fully all upside on the Electric side?
Jerry Norcia: Well the – yeah the $35 billion certainly the first five years are – are in our plan. The reason we put that out there is to show that there we have a very large inventory of investment opportunity. And that does give us the opportunity to pull forward our investments. So that’s – that’s really the opportunity. And I think you’ve seen we’ve got a pattern of increasing investments in our 5-year outlook every year that we – we update.
Durgesh Chopra: Got it. And just a quick follow-up on that and I’ll jump back in the queue. Is the – the EV’s load increased by 10% obviously you know very robust. Is that incorporated in the $35 billion number? Or will that be – will that drive further additional CapEx and reduce investment opportunities?
Jerry Norcia: That could potentially drive incremental investment we’ve assumed some level of investment obviously to harden our grid and prepare our grid for the future, but depending on how quickly that EV load comes on, in the out years beyond our 5-year plan, it could certainly drive acceleration of investment in the grid as well as investments in generation. I mean we’re seeing you know the placement of EV manufacturing facilities in the State of Michigan, they are highly energy-intensive facilities more so than traditional assembly plants. So to give you an example, a traditional assembly plant can consume anywhere from 20 to 25 megawatts of power, an EV assembly and battery plant, you’re – you’re talking north of 70 megawatts. So it’s – these are significant loads that – that will come to the state, in addition to the demand just from the vehicles themselves.
Durgesh Chopra: Excellent. Thank you guys. Congratulations on a great quarter.
Jerry Norcia: Thank you.
Dave Ruud: Thank you.
Operator: Our next question comes from the line of Angie Storozynski from Seaport. Your line is open. Please go ahead.
Angie Storozynski: Thank you. So I wanted to follow-up on Vantage. I think if you look at your stock, there seems to be an imputed discount to your closest peer, which I think we all associated with that business. And so, you keep adding new projects. The – you know, the market for RNG product – projects like resale of RNG product – projects seems pretty hard still. So if you could tell us if there is any plan to have a strategic review regarding Vantage? And if yes, what would be the potential use of proceeds? Thank you.
Jerry Norcia: So, Angie I’ll – I’ll start with that. I – right now, we’re seeing RNG business grow nicely, quite modestly in terms of the overall DTE portfolio. You know we’re – we’re generating anywhere from $7 million to $8 million a year of new net income from – from that business and the returns are really, really high. And as you said, the market valuation for RNG assets right now is pretty high, right. And so we’re constantly looking at our other opportunities to continue to optimize our portfolio. And – and so that’s really the work that we constantly do to evaluate who values that the most our current slate of investors or other investors, and I think you’ve seen we have a reputation of, if we see significant opportunity to optimize value, we’ll – we will take that move, but no plans at this current state to do that, as we see continued growth and high returns and high cash flows.
Angie Storozynski: Okay. And then just going back to that notion of you know maintaining the 5% to 7% EPS CAGR, and I understand the some deceleration of growth in operating earnings for Utilities beyond ‘23. But – but do you really see yourself below 7% for you know in the – in this sort of a steady state utility growth, given all of the, you know given the IRP and voluntary renewables and additional growth drivers that you’ve talked about?
Jerry Norcia: Angie, again, I – what I’ll point to is that, and I think you’ve said it, we’ve been delivering you know extraordinary EPS growth results over the last decade, including last year and even this year you know where we’re forecasting 7%. Looking forward, this is something we’re examining where they closely, because we’re getting a lot of feedback from analysts and investors on what will your growth rate look like beyond 2022. And we’re doing a lot of work on that. We feel that the filing of the IRP in October, as well as you know we would be moving very close to – the conclusion of our first rate case of the Electric Company at three years, that’ll be very instructive and us laying out our long-term growth plans, as well as our long-term CapEx plans for this – for the company. So more – more to come on that, Angie.
Angie Storozynski: And then lastly the last remaining coal plant. So the – I understand the IRP filing is on the – in October, but is the assumption that at least some of this capacity would be replaced by a gas-fired plant?
Jerry Norcia: I would say that, yes, is the – is the short answer. We will need dispatchable generation and so you will see gas in our plant, you’ll also see an extraordinary amount of renewables. You’ll see battery storage in that plant. And you’ll also see demand response initiatives. So you’ll see many initiatives to replace that coal-fired generation. So gas will be part of it. We’re also looking very closely at enabling any new gas facilities that we install or propose that will have carbon capture and storage capability, as well as the ability to burn hydrogen.
Angie Storozynski: Very good. Thank you.
Operator: Okay. Our next question comes from the line of Julien Dumoulin-Smith from the Bank of America. Please go ahead.
Unidentified Participant: Hey. Good morning. It’s [Darius] [ph] on for Julien here. Thank you for taking my question –
Jerry Norcia: Good morning –
Unidentified Participant: Most of them have been answered already. Just – just if you don’t mind just reminding us how your tracking gets to 16% FFO to debt target and when do you expect to achieve that?
Jerry Norcia: Dave?
Dave Ruud: Yeah, good question. In ‘21, we – we were a little bit higher than that, because we still have the cash flows from DTM and therefore part of the year but we will be getting to that 16% in ‘22 and going forward.
Unidentified Participant: Okay, thank you. Like I said, you’ve – you’ve answered all my other questions. So, thanks again.
Jerry Norcia: Thanks.
Dave Ruud: Thank you.
Operator: Okay. Our next question comes from the line of Michael Sullivan from Wolfe Research. Your line is open. Please go ahead.
Michael Sullivan: Hey, everyone. Good morning.
Jerry Norcia: Good morning, Michael.
Michael Sullivan: Just wanted – hey, Jerry. So just wanted to quickly circle back to the discussion on potentially pulling forward some of these – these coal plant shutdowns. Is – is there a possibility for fuel switching as well for replacement?
Jerry Norcia: There is, actually at the Belle River Power Plant, which we pulled forward to 2028 in our filings there with the EPA and other agencies, we indicated that we would be using the Belle River Power Plant which is about 1,200 megawatts of coal right now, as a – as a gas peaker. So there is that opportunity and we view that as favorable for our customers, because one, it provides a reliability source and secondly, it allows the continued depreciation of plant for longer than 20 – well beyond 2028. And I think at Monroe we’re examining similar opportunities for either fuel switching or voltage support on the grid as well as using some of the existing infrastructure, we have to put some baseload gas down there.
Michael Sullivan: That’s great, thanks. And then my other question was, so you guys continue to add to this voluntary renewables program, just wanted to get a sense of how you’re doing on some of the projects associated with that demand? What’s embedded in 2022 in terms of new wind or solar farms being added? And are you seeing any delays or pressures related to supply chain or inflation there?
Jerry Norcia: So we have 1,000 megawatts that’s signed and underway from a construction perspective. And then we have another 1,300 megawatts that are in advanced stages in negotiation. And so we’re really in good shape on the demand side. On a supply side, we’ve got all of our ‘22 and ‘23 resources, physical resources lined up for that, whether it’s solar panels or wind turbines. So we’re in really good shape there. We have seen some supply chain stress, if you will, but that’s beyond the timeframe that we’re securing assets for right now. Dave Ruud, I don’t know if you have other comments you want to add?
Dave Ruud: Even for our future or future builds, we’re seeing the supply chain constraints ease up now. So we – we’re going to be fine getting those two, pricing may be a little – little higher than what was a few years ago, but it’s going to be consistent with the rest of the market and also good for customers bill too.
Michael Sullivan: That’s great. Really appreciate the color. Thanks.
Jerry Norcia: Thank you.
Operator: All right. Our next question comes from the line of Andrew Weisel from Scotiabank. Your line is open. Please go ahead.
Andrew Weisel: Thank you. Good morning, everyone and congrats on another –
Dave Ruud: Good morning –
Andrew Weisel: Hi –
Jerry Norcia: Thank you, Andrew.
Andrew Weisel: First question is on the 2022 guidance. I see that you’ve upped the forecast for each of the three major segments. What’s driving that? Is it individual business specific factors or general cost controls or maybe simply removing some conservatism?
Jerry Norcia: Dave?
Dave Ruud: Yeah really it was the latter you know as we – as we ended the year and – and we looked at our plans, we just gained even more confidence in each of the businesses and where we could come out and we’re able to bring up the bottom end of those.
Jerry Norcia: Also we’re seeing the contingency build – we’re starting to see the contingency build in each of our big business lines as well as we’ve had some really nice weather in Detroit.
Andrew Weisel: Right, very good. Then my other question is, can you elaborate on your commitment to helping the vulnerable customers in the winter months? What exactly is that and what – how are these programs may be different from your typical low income assistance programs?
Jerry Norcia: The most impactful program that we have, Andrew is our low-income self-sufficiency plan, something that we developed through legislation a little over a decade ago. And it’s pretty unique in the sense that the way it works is that, we look at a customer’s income levels and – and then apply a credit to their bills using federal funding and also some dollar – value that comes from our rate making. And what that does, it buys down the bill for low-income customers so that they’re paying you know, $75 a month or $50 a month depending on what they can afford. And the balance of that payment comes from federal or state assistance which we’re you know always bringing in for our customers at least about $160 million a year in terms of federal and state assistance to our customers. So that helps our customers keep their heat on and their lights on through the winter months. And it also creates a sense of dignity for our customers, because they’re also paying in a proportion of the bill. So that’s the most unique program that we have.
Andrew Weisel: Okay, great. Thank you so much.
Jerry Norcia: Thank you.
Operator: Our next question comes from the line of Sophie Karp from KeyBanc. Your line is open. Please go ahead.
Sophie Karp: Hi, good morning. Thank you for taking my question. I have couple of questions –
Jerry Norcia: Good morning –
Sophie Karp: Actually. Yeah, hi. So on the RNG technology, I’m just curious if this technology at this point is pretty, I guess mature or are you still seeing potential for price improvements there that potentially drive the – you know the cost of RNG down over time? Or is it you know pretty much going to be stable at the level where we have based on what the technologies there?
Jerry Norcia: Sophie, we saw some technology improvements over the last couple of years that drove costs significantly down in this arena. And we’ve adopted that technology for several of our projects in Wisconsin and even we’re considering it in the Dakota. So we have seen technology price movement. We have not seen anything recently, but it has helped with you know boosting our returns beyond our expectations by adopting some of this technology.
Sophie Karp: Got it. And then I also have a question on the EVs. And this is I think one first times when you start talking about the potential impacts of the EVs on road, and we begin to hearing more about the EV penetration in general. I’m just curious if – how do you see your particular territory adopting? How do you see the speed of adoption in your particular territory I guess? I get it, that the other manufacturers are there, but the territory is not particularly affluent or you know has [inaudible] with renewables. So should we expect the Michigan to be at the forefront of the adoption of EVs or maybe a laggard in that – in that aspect like how should we think about that?
Jerry Norcia: We see you know significant adoption potential here in the State of Michigan. I think as you mentioned with our voluntary renewables, there is a strong desire to green the environment. And we’re seeing that with many customers, the large institutional customers as well as also residential customers. So EV adoption is something we’ve also started to see ramp up in the State of Michigan, it’s still quite small. You know last year, actually in 2020, we were seeing you know maybe several hundred a month now we’re getting close to 500 to 1000 a month of EV attachments onto our system. And that’s – that’s significant. So, we see a continued ramp there as new models are introduced. So there is – there is the ability to see the adoption and we expect that to happen.
Sophie Karp: Thank you.
Operator: Our next question comes from the line of Jonathan Arnold from vertical research partners. Your line is open. Please go ahead.
Jonathan Arnold: Good morning, guys.
Dave Ruud: Hey, Jonathan.
Jerry Norcia: Good morning, Jonathan.
Jonathan Arnold: A quick follow-up on the EV topic. You talk about the 5% to 7% is, I – I understand that to be kind of volume load I am just checking that’s correct. But any – can you comment on what your – what you think it might do to peak load as you start to think about rate design and folding this demand then?
Jerry Norcia: Sure. You know that’s a good consideration. What we’re seeing right now is that, most of the EV adoption, people are charging at home. And all of the feedback that we’re getting from the OEMs, from the large autos here in Detroit is that, the customer preference, 80% of the customer preference at this point in time is they charge their EVs at home, there’s a lot of convenience and being able to do that. And most of that will happen in evening. So that’s beneficial to our grid. So we see the early adoption of EVs as being very beneficial to us, because it won’t require a lot of investments. So the early years, the adoption, EV adoption will be quite good for our load and our margins and also help support much of the grid investments we need to make for the future. As you get deeper into EV adoption, I think you’ll start to see a significant amount of investment required on a grid to support usage throughout the day.
Jonathan Arnold: Great, and what’s your assumption on the penetration, Jerry just behind that number you’ve shared with us today?
Jerry Norcia: Dave, do you have any thoughts on that?
Dave Ruud: I don’t have the penetration number, but we can get back to you guys on that.
Jonathan Arnold: Okay, perfect. Thank you, guys.
Jerry Norcia: I would say – I would say, Jonathan in order of magnitude was being predicted is that, in the 2030s – early 2030s about half of the vehicle sales will be EV sales. That’s how we’re – we’re building our – building our forecasts that you see.
Jonathan Arnold: Great, thank you.
Operator: Our next question comes from the line of Anthony Crowdell analyst Mizuho. Your line is open. Please go ahead.
Anthony Crowdell: Hey, good morning, Jerry. Good morning, Dave.
Dave Ruud: Good morning, Anthony.
Jerry Norcia: Hey, Anthony.
Anthony Crowdell: Hopefully just a couple quick ones. I think in one of the earlier questions you talked about maybe the growth rate. And I don’t know if you used the word review, you’re looking at it. When does the – when do you believe you’ll be done with that review? Is it you’re going to wait for the rate case in IRP to play out? Or is that something that you think may conclude sooner?
Jerry Norcia: At this point, Anthony, we’re thinking it’s going to be at the time that we in and around the time that we file our IRP, because we’ll have a lot of our long-term growth plans, especially as we think about replacing our generation fleet laid out. And that’s – that’s the current timing that we’re thinking about.
Anthony Crowdell: Great. And then on the IRP, I believe in Michigan when you file it, and you talked about maybe on your rate case you had a lot of them. Before the filing you met with a lot of policymakers and maybe get support. On the IRP, have you begun that dialogue? And has it been any particular issues that maybe – maybe require more discussion than others?
Jerry Norcia: We have become – begun that dialogue with many stakeholders as it relates to our IRP. And you know the dialogue ranges from strong support around what we’re planning to do as well as, as you would expect people asking us to accelerate. So we view that as all positive and constructive. And it will help us build a really solid IRP that we file on October.
Anthony Crowdell: Great. And then my last question. I think some of the earlier questions really are focused on maybe on the 5% to 7% growth rate you’re given out maybe on the higher end. But if I could flip the question like, what do you see that would cause you to be at the lower end of that range? Like what – not that I’m hoping that happen? But just what do you have to see operationally or something that – that maybe where we should be focused on that 5% of the range?
Jerry Norcia: Right. As you know, Anthony, we’ve never even come close to delivering on the lower end of that range. I think if you look at our track record, we’ve been at the top end of our range pretty consistently. And we strive to accomplish that each and every year. And if we don’t, we – we would be very disappointed. So that’s our plan going forward. We – we aim for the midpoint, but certainly we tried to do all we can with our plans to deliver the top end of that range. And I think you’re seeing that again this year. And if you look at the last decade, we’ve done that pretty consistently. So it would be pretty remote possibility. I mean, we’ve weathered you know economic collapses, we’ve weathered pandemics and not – and have delivered well above that 5% as you know.
Anthony Crowdell: Yeah, absolutely. Thanks again and a solid quarter. Thanks so much for taking my questions.
Jerry Norcia: Thank you.
Operator: Okay. Our next question comes from line of Travis Miller from Morningstar. Your line is open. Please go ahead.
Travis Miller: Good morning, everyone.
Jerry Norcia: Good morning.
Dave Ruud: Hi, Travis.
Travis Miller: Thank you. Two follow-ups to some of the comments you made on the 10-year plan. One, if you start to invest in the fuel switching at some of the – one or more of the coal plants. Does that eliminate the need for a new gas plants or some other new non-renewable source of generation?
Jerry Norcia: Well the – you know switching coal boilers to the natural gas is a good peaking resource, Travis, but not necessarily good base – baseload resource because of efficiencies you know the new gas turbines, for example you know they’ve got very low heat rates you know around 7,000. Whereas you know an old coal boiler might be up around 10,000, meaning you know just – it just means they burn a lot more fuel to produce the same energy output. So they’re good peaking resources, but they – it would be – they would be very expensive as a baseload resource. So we do see, at least at this point, more gas turbines in our future that would have carbon capture and hydrogen consumption capability.
Travis Miller: Okay, yeah that makes sense. And then you just mentioned that, but as you look out those 10-years, I think, Jerry you had mentioned long-term storage. How does that play into in terms of hydrogen, if not directly into the plants like you said right now, but some other way?
Jerry Norcia: Yeah, hydrogen I think – I think it’s a great question. And you’ve seen in our rate case that we filed for a hydrogen pilot that we’re going to start experimenting with using hydrogen – small scale hydrogen storage as well as hydrogen consumption in our new gas turbine, which is the Blue Water Energy Center in St. Clair County that will go into service this summer. So we’re going to start experimenting with the use of hydrogen to see how the turbine responds and also start to understand how to handle and move and store hydrogen. Longer-term, hydrogen is a good fuel to store electric energy, because it has high energy density. And also it’s – it can be blended with natural gas and stored in natural gas facilities to some extent. So we’re going to start experimenting with all of that so that we can understand it more deeply. And I know some of our peers are also doing that as well.
Travis Miller: Yeah. Great, thanks so much. I really appreciate it.
Jerry Norcia: Thank you.
Operator: There are no more – no further questions at this time. I will now turn the call back over to Jerry Norcia for closing remarks.
Jerry Norcia: Well, thank you, everyone for joining us today. And I’ll just close by saying that we had another strong year in 2021 as you’ve seen and I’m feeling really good about delivering a strong 2022 which will position us for the future and deliver premium returns for our investors both from an EPS growth perspective as well as the dividend growth perspective. So, hope everyone has a great morning and stay healthy and safe.
Operator: That concludes today’s conference call. Thank you for your participation. You may now disconnect.